Operator: Greetings. Welcome to PROS Holdings Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to Belinda Overdeput, Senior Director of Investor Relations.
Belinda Overdeput: Thank you, Operator. Good afternoon, everyone, and thank you for joining us. Our earnings press release, SEC filings and a replay of today’s call can be found on the Investor Relations section of our website at PROS.com. Our prepared remarks are also available on our website and will be replaced by the official transcript, which includes participant questions once available. With me on today’s call is Andres Reiner, President and Chief Executive Officer; and Stefan Schulz, Chief Financial Officer. Please note that some of the commentary today will include forward-looking statements, including, without limitation, those about our strategy, future business PROSpects and market opportunities, and our financial projections and guidance. Actual results could differ materially from such statements in our forecast. As always, our guidance is based on current conditions. We are cognizant of a number of geopolitical risks and uncertainties that could impact the macroeconomic environment. This guidance presented in today’s earnings release, and which we’ll discuss during the call, assumes the external environment doesn’t significantly change. For more information, please refer to the risk factors described in our SEC filings. PROS assumes no obligation to update any forward-looking statements to reflect future events or circumstances. As a reminder, during the call, we will discuss non-GAAP metrics. Reconciliations between each non-GAAP measure and the most directly comparable GAAP measure, to the extent available without unreasonable effort, are available in our earnings press release. With that, I’ll turn the call over to you, Andres.
Andres Reiner: Thank you, Belinda. Good afternoon, everyone and thank you for joining us on today's call. I'm incredibly proud of our team's achievement in 2024, highlighted by an outstanding second half performance that was capped off by a strong fourth quarter in Q4. We delivered 14% subscription revenue growth and 10% total revenue growth, bringing us to 14% subscription revenue growth and 9% total revenue growth for the year. Additionally, we delivered approximately $30 million in adjusted EBITDA for the year, an impressive 400% improvement compared to 2023. We also expanded our free cash flow margin by four percentage points year-over-year, achieving an 8% free cash flow margin for the year. Our second half results reflect our team's strong execution and our continued momentum as a market leader, setting a solid foundation for continued growth in 2025 and beyond. Our AI driven approach or relentless focus on innovation and our continued execution to our land, realize and expand strategy are driving our success. We've always embraced the power of AI. In 2024, we continue to elevate our approach by making AI an even stronger pillar of our strategy, embedding it deeper into our internal operations and driving transformative impact across the business. From accelerating product development to automating key aspects of the commercial process, to streamlining project delivery through automating, data onboarding and test case generation, these initiatives drove tangible results. We achieved a record high non-GAAP subscription gross margin of 81% in Q4; while processing 4.4 trillion transactions in our platform in 2024, a 29% increase in volume year-over-year. Additionally, for the third consecutive year, we achieved double digit improvements in customer time to value when it comes to our platform. We continue to set the pace of innovation in our markets, releasing over 560 new features across our platform in 2024. These include new solutions such as Smart Rebate Management, Agentic AI innovations such as Dynamic Ancillary Pricing and embedded generative AI capabilities across our platform such as the recent launch of our Fare Finder Genie in Q4. Fare Finder Genie brings to life the next generation travel agent using generative AI real time fares. This solution offers a tailored flight search experience resulting in itineraries that match customer preferences. Modern airline retailing needs innovation like ours to continue to inspire travelers and drive higher conversion of sales. Our innovation leadership continues to be recognized by major industry analysts. I'm proud to share that PROS has once again been named the leader in the latest Gartner Magic Quadrant for Configure Price Quote applications, making one of the most significant upward moves in achieving our highest leadership ranking in the evaluation-to-date. This success highlights our deep and broad platform capabilities along with our expanding market presence. PROS was also recently named the leader in the IDC Marketscape for Worldwide Configure Price Quote applications, recognized for our AI driven innovations including our advanced pricing capabilities in seamless integration with key ecosystem partners. PROS also earned IDCs 2024 CX CPQ Customer Satisfaction Award. This award is the result of a global survey of 2,500 organizations evaluating vendors across approximately 40 customer satisfaction metrics. PROS rank among the highest for customer satisfaction in the CPQ application market. With recognition for ease of implementation and user experience. PROS has now earned a leader ranking from every key industry analyst evaluation specific to our solutions. Our success is further evident by the amazing new customers who selected PROS in Q4. We continue to see strong new customer wins across our Target Industries including Brady+, HBK and Werner Electric, among many others. Brady+ a national distributor, Food service, packaging and sanitation supplies, selected the PROS platform to drive winning offers across the diverse industries they serve and fuel revenue growth. HBK, a global leader in testing and measurement technology, selected the PROS platform to optimize pricing and drive a better customer experience. Werner Electric, a leader in electrical supply distribution, also chose a PROS platform to streamline their pricing strategy and fuel profitable growth. We also continue to win new logos in the travel space, further expanding our leadership as the trusted partner for over 170 airlines around the world, which together represent more than 52% of the global passenger volumes. Fastjet, a South African hybrid carrier, selected PROS in Q4 to enhance brand visibility and drive higher conversion of bookings through PROS offer marketing. Meanwhile, multi decade customers Air Canada and Lufthansa continue to deepen their innovation with PROS. Air Canada chose to adopt dynamic offers to power continuous pricing across meta search engine distribution channels, gaining an advantage on the price performance curve for the heavy traffic driven by these channels. Lufthansa Group chose to adopt our dynamic canceller pricing solution and expand shopping and pricing. These wins reinforce pro's position as a trusted innovation partner, delivering the most advanced AI power solution to drive measurable revenue growth at scale. Holcomb expanded its partnership with PROS by adopting Smart Rebate Management. Holcomb will optimize and automate rebate program management with end-to-end visibility. This solution will enhance Holcomb's rebate program to plan powerful incentives to drive growth and deliver a better customer experience through seamless alignment on incentives and achievement. In 2025, we're focused on building upon the three strategic pillars that have driven our success. First, our land realize and expand strategy will remain central to how we continue to capture the incredible market opportunity in front of us. Second, we will continue to work closely with our partner ecosystem to accelerate or joint growth strategies. Third, we're doubling down on AI as a transformative force to be the model AI native company, deeply embedding it into our platform and operations to drive innovation, efficiency and deliver unmatched value to the market. We have the best team, the best solutions and amazing customers who are driving immense value with our platform. We're in a very strong position and I look forward to a successful 2025. In closing, I want to thank our entire team for their incredible dedication and commitment to PROS, our customers and our communities. I'd also like to thank our partners and shareholders for their continued support of PROS. I'll now turn the call over to Stefan to cover our financial performance and outlook.
Stefan Schulz: Thank you, Andres and good afternoon, everyone. We closed 2024 on a high note fueled by strong bookings across all our core industries including our travel business. Our team did amazing work throughout the year. We were able to drive our strategic growth objectives while transforming our business through operational efficiency. We achieved a record high in non-GAAP gross margin as a SaaS business from significant contributions from both our subscription and services operations. The improvements were so significant that the year-over-year dollar improvement in non-GAAP gross profit was actually greater than the dollar improvement in total revenue. Similarly, we added $0.90 to adjusted EBITDA for every incremental revenue dollar generated in 2024. In 2025 we will continue to drive operational efficiencies in our business, but we will also increase our go to market investments to build on our momentum coming out of 2024 and further fuel our growth. In R&D, we anticipate driving more efficiency improvements with the help of AI while accelerating our innovation roadmap in SG&A. Our global infrastructure positions us well to drive more leverage as we continue to win new customers around the world through our land realize and expand strategy. Now I'll cover our results in a little more detail. Subscription Revenue in the fourth quarter was $69.3 million increasing 14% year-over-year and then 266.3 million for the full year, also increasing 14% year-over-year. Total revenue in the fourth quarter was $85 million, increasing 10% year-over-year and $330.4 million for the full year, increasing 9% year-over-year. Recurring revenue for the fourth quarter and the full year was 85% of total revenue, an increase from 84% reported last year. Our trailing twelve-month gross revenue retention rate continues to be better than 93%. Our subscription ARR was $283 million increasing 10% year-over-year on a constant currency basis. Subscription ARR on an as reported basis was $281.5 million which was negatively impacted by about a percentage point due to the strengthening US dollar. Our fourth quarter recurring calculated billings increased 25% year-over-year and 11% for the trailing 12 months ahead of our expectations and demonstrating the strength we saw in the quarter. We also set a new all-time high as a SaaS business for our non-GAAP subscription gross margin. Non-GAAP subscription Gross margin was 81% in Q4 and 80% for the year, increasing from 78% in 2023 and non-GAAP services Gross margin was 16% in Q4 and 11% for the full year and an improvement from 5% reported in 2023 As I mentioned earlier, these improvements in non-GAAP subscription and services margins allowed us to set a new all-time high as a SaaS business for total non-GAAP gross margin of 70% in Q4 and 68% for the full year, which is an increase from 65% reported in 2023. We delivered adjusted EBITDA of $10.9 million in the fourth quarter, significantly outperforming guidance and resulting in $30 million of adjusted EBITDA for the full year, an improvement of $24 million compared to last year. We generated $23.5 million in free cash flow in the fourth quarter and $26.2 million in free cash flow for the year, significantly outperforming our guidance and an improvement of $14.8 million compared to last year. We exited the year with $172 million in cash and investments. Our non-GAAP earnings per share for the fourth quarter was $0.16 per share, bringing us to non-GAAP earnings per share of $0.41 per share for 2024. As we look to 2025, we are positioned to deliver another year of double-digit subscription growth while also expanding profitability. Here's our guidance with the stated growth rates and improvement amounts at the midpoint of the ranges for the full year we expect subscription ARR of $308 million to $311 million representing 10% growth year-over-year. We anticipate full year subscription revenue to be in the range of $294 million to $296 million representing 11% growth year-over-year. Total revenue to be in the range of $360 million to $362 million representing 9% growth year-over-year. We anticipate full year adjusted EBITDA of between $42 million and $44 million representing an improvement of $13 million year-over-year in free cash flow in the range of $40 million to $44 million and improvement of $15.8 million year-over-year. Our business typically experiences lower free cash flow in the first half of the year followed by stronger free cash flow in the second half of the year, with Q1 being the seasonal low point. We expect this trend to continue in 2025, though to a lesser degree. We are expecting a 2080 cash generation split between the halves compared to last year's 5.95 split. Turning now to guidance, for the first quarter of 2025, we expect subscription revenue to be in the range of $70.25 million to $70.75 million representing a 10% increase year-over-year and total revenue to be in the range of $85 million to $86 million, representing a 6% increase year-over-year. With the recent improvements in our travel business, subscription revenue from these travel bookings is expected to increase throughout 2025, which is factored into our full year guidance ranges. We expect first quarter adjusted EBITDA between $7.5 million and $8.5 million, which is an improvement of $3.4 million over the first quarter last year. Using an estimated non-GAAP tax rate of 22%, we anticipate Q1 non-GAAP earnings per share at $0.10 to $0.12 per share based on an estimated 47.9 million diluted weighted average shares outstanding. In closing, I want to thank our employees for their hard work and dedication, as well as our shareholders for their continued support. With the momentum we've built in 2024, I'm confident we will deliver a successful 2025. I will now turn the call back over to the operator for questions. Operator?
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Jeff Van Reeve with Craig Hallam. Please proceed with your question.
Jeff Van Reeve: Great, thanks. Hi guys. Thanks for taking the questions and congrats on that free cash flow just both in the in the year and in the guide. Looks great. Maybe if I could just start with the travel side of the business, talk a little bit more about the turn. Obviously, you're talking about a return to growth here, but can you give maybe a little more color on two aspects? Just what kind of growth rates are conceivable for travel in this forward year? Sort of low and high end. And then just at a minimum, at least a little qualitative commentary on sort of the return to health of the airline industry and what you learned in the last 90 days?
Stefan Schulz: Well, I'll take the first part and I'll let Andres take the next part. Yes, to your point, we were happy to see, you know, our travel business, you know, starts showing signs of solid improvement in the fourth quarter and right now we're planning for that to happen in 2025 as well. You know, we've talked Jeff, quite a bit about travel overall being a, you know, a. Call it a, call it a below teens growth rate on a steady state. We feel like we certainly are capable of generating that type of growth. I think to your point though, you know, in, you know, as we start to see that from a booking standpoint, we should start to see that growth rate starting to materialize, I would say, as we, as we exit or as we progress through this year. So you'll see our subscription growth start to accelerate as we go from first quarter all the way through the fourth quarter. And a lot of that's going to be on the heels of what we're doing from a travel perspective.
Andres Reiner: Yes. And then the other part that I would add is, in general, we're seeing the areas around offer optimization being key areas that we're seeing the market really embrace, both thinking about, for example, in Air Canada, I talked about them implementing dynamic offers and continuous pricing for MSC channels. These are very strategic areas for them to capture revenue growth as they're constrained with capacity now that we're seeing very, very strong passenger volumes, they want to optimize both the seat revenue as well as the ancillary revenue. Lufthansa was another great example, adopting DAP, Dynamic Ancillary Pricing solution and really trying to continue their trajectory around the full offer optimization. So in general, overall, we're seeing the travel industry in a better place. Today, you've probably seen many of the major U.S. airlines talk about the year as a positive year. Also, the investment in people and programs inside, we're seeing those start to get activated, a big, big area of focus around offer optimization.
Jeff Van Reeve: Very helpful. And then second, maybe if I could. From a sales standpoint, Todd came in, I guess, midyear last year, early part of last year, and this might be the first full clean reset he's got going into a new year. How are you approaching from a sales leadership standpoint, the managing to drive the outcomes you want but avoid disruption? And I'm obviously thinking specifically about quotas and territories, et cetera. Just talk about this transition in the new year and what might be changing and how you're managing it?
Andres Reiner: Yes. A great question, Jeff. I would say, look, I'm extremely proud of the whole sales leadership. The level of execution, not just at a quarter level, but for weekly goals, monthly goals to quarterly goals, how we're executing all the way from demand gen to sales to our delivery teams and customer success. We have a full customer life cycle alignment and an incredible execution engine. So I would say I'm very, very pleased with the programs we put in place last year around our regional focus and getting closer to our customers in the market, and that's working. As we head into this year, we're doing more surgical, not big changes because all of the changes were done last year is really accelerating the programs that we started last year. One new area is we are actually moving our customer success organization beyond the adoption and renewal into expansion. So our CSM teams going into this year are going to own quota around expansion as well beyond just the adoption, value generation and renewals, which they've traditionally focused with very close alignment with the full sales go-to-market teams. The other area that we're focused is now that we have our land, realize and expand working well, we're continuing to focus on our partner channel and accelerating our partner channel, but with real big focus on key partners that are going to help us accelerate our growth. So I would say those are the key areas that we're focused this year.
Operator: Our next question comes from the line of Scott Berg with Needham & Company. Please proceed with your question.
Robert Morelli: Hi everyone, this is Rob Morelli on for Scott. Congrats on the quarter. You announced some expansions and renewals in the Travel business over the past couple of weeks, along with those in the press release today. Can you just touch on maybe the operational environment for these airlines? Have you noticed any improvement from a personnel perspective that drove some of the headwinds over the second half of last year?
Andres Reiner: Yes, Rob, great question. Yes, overall, we've seen definitely an improvement in operational and strategic focus around new initiatives. You've seen -- we've had not just renewals, but quite a few expansions as well and acceleration of programs that, frankly, we're working on last year that finally got accelerated in the fourth quarter. And as we look at this year, we're continuing to see good momentum on the Travel industry in the strategic areas that we've invested. So overall, we've seen a meaningful improvement in that environment.
Robert Morelli: Great to hear. And then last quarter, obviously, there was a big announcement surrounding some changes in leadership. Any updates you guys have on those -- on the search for a new CEO?
Andres Reiner: Yes. So, it's progressing exactly how we expected. As we said, we're going to take our time and be very intentional through this process to ensure we have the best candidate as well as a very well-orchestrated process and it's progressing as expected. Nothing really new to report.
Operator: Our next question comes from the line of Parker Lane with Stifel. Please proceed with your question.
Parker Lane: Hey guys, thanks for taking the question here. Andres, you talked about some of these AI-powered solutions, in particular Fare Finder Genie. I just wondering if you could give some updated thoughts on how you're thinking about including some of these generative AI solutions as part of the broader platform versus stand-alone opportunities to monetize? Where are you at in that evolution of that journey from a commercialization standpoint?
Andres Reiner: Yes. Great question, Parker. I'll tell you, look, we have -- within our platform, as you know, we have generative AI capabilities core to the platform. My belief, and it's been our belief at PROS, really the value of solutions in AI is when the AI is at the center of a solution, not just an ancillary component. So we're really looking at embedding it across every capability core to each product solution that's adding a significant value to an end customer, whether it'd be revenue uplift, margin uplift or efficiency gain. And you're going to see as we head into this year an acceleration of innovation around this notion of Agentic AI to bring more and more of these solutions, but embedded within the products and solutions that we have to either help people accomplish goals faster or help in a full autonomous way like we do for dynamic ancillary pricing as an example, to power real-time channels.
Parker Lane: Thanks for the color there, Andres. And Stef, maybe one for you on the subscription gross margin, congrats on the solid improvements there. In the context of your long-term targets, any updated view on how much of that will come as a result of further improvements off of this 80.7%, I believe the number was performance you reported 4Q?
Stefan Schulz: Yes, Parker, I think I'm on record of saying I didn't think that was possible just a few quarters ago, and I'm not going to put any sort of limitation on what our engineering team can do anymore. So, I do think there's some upside there. We've actually had some conversations about some of the innovation that the team is doing and some of the efficiency that they're writing into the code. And so there is an opportunity to do more. Obviously, the opportunity is not quite what it used to be. But no, I think it's something we can see 82%, maybe even 83% at some point. So I'm not going to put a cap on them anymore.
Operator: Our next question comes from the line of Jason Celino with KeyBanc Capital Markets. Please proceed with your question.
Jason Celino: Hey guys, thanks for taking my question. Maybe just a couple. So subscription growth in Q4 was very strong, right? 14%. But when I look at the Q1 guide, it's deceling to 9.5%. I guess why would that be? I guess, any and -- maybe just that question first.
Stefan Schulz: Yes. So, Jason, what we saw in the first quarter was some of the bookings that we had, we talked about some of the travel recovery and seeing some stronger bookings. Some of those bookings or a lot of those bookings actually are having a little bit of a deferral from a recognition perspective. So, we'll start to see that as we go and progress through 2025. And so that's part of it. I would also tell you, currency has had an impact. Currency has had about a 1 percentage point impact just given what's happened in the last call it, two months in terms of the FX market. So that's part of it as well. But I think you're going to see subscription revenue respond nicely throughout the year based on the bookings we had in the fourth quarter and obviously, what we're expecting in the first part of 2025 as well.
Jason Celino: Okay. Excellent. And then I think this is more for your B2B business. But if we look back 5 to 8 years ago, tariffs seem to be in the news a lot. Obviously, it's very fluid. But how does that impact your customers' spending habits? Is it like a near-term distraction? Or does it just add to the complexity and need? I guess how -- I guess, what did you see for five, six years ago?
Andres Reiner: Yes, Jason, great, great question. I think this is just in the same realm as in general, the constant volatility change. And if you think about it today, that need, the requirement to have real-time technology is even greater because if you think about any changes to tariffs that may happen, you have to be very quick and very surgical how you drive price change. So, the need for this is even more strategic. And as companies are realizing the volatility, as I've always said, is really here to stay between currency shifting, the potential risk of tariffs, the complexity of pricing has only amplified and the need to have an AI-powered pricing is really critical. In addition, we've also put blog articles to help our customers as well with thought leadership around this. But this is an area I can tell you from talking to many of our customers top of mind and something that I think for our customers, they're very happy that they have technology like PROS to be able to address. I think for the broader market, I think it's a risk if you're on Excel and manual, how you're going to manage the market with this level of uncertainty and volatility. So it can be actually helping us from a growth perspective.
Operator: Our next question comes from the line of Rob Oliver with Baird. Please proceed with your question.
Robert Oliver: Great, thanks. Good afternoon, guys. Andres, first one is for you. So it really seems like we're in an exciting time here for revenue management. I know historically, you guys have said that one of the kind of maybe barriers to growth was that a lot of your airlines and customers kind of viewed you guys as like a closely held secret because -- and not something that they wanted their competitors to have. Now it seems like all of the big airlines are talking about generative AI, sometimes doing pilots with Gen AI native companies talking about the importance of revenue management. So, I'd just be curious to hear from you coming into this year. And obviously, you guys are guiding for an improvement in those travel bookings throughout the year. But if you've seen any change in the market relative to your opportunity to get shots on goal given this new focus on this market, perhaps even with some of the bigger airlines where you guys traditionally maybe have not cut business? And then I had a quick follow-up for Stefan.
Andres Reiner: Yes. No, great, great question. I would say, yes. I mean we see a lot of opportunities. I think it's top of mind, and I would say airlines are really focused on two areas. One, how they're optimizing the right to fly, think of that as the seat revenue; and then how they're optimizing ancillaries and thinking about the future pool offer optimization. And I can tell you, I've been quite a bit out on the road as has the rest of our team. And that we hear loud and clear. And I think they're all looking at some of technology like PROS, like our request-specific pricing or dynamic ancillary pricing solutions to really drive the right revenue. And they all have pressure to drive higher revenue with not significant additional capacity. And these are the levers that we can help them to achieve the goals they're trying to achieve, leveraging next-generation technologies. So I can tell you, "Look, we're very excited about this." I would say, "I'm also really proud of our marketing team." There's been a lot of focus that we put on the brand to demand strategy and really launching every two weeks new programs to let the market know these areas where we're achieving phenomenal results to activate demand in the market. So we're really looking at how we're driving top of the funnel plus the opportunities that we have in our pipeline that we're working that are more late stage.
Robert Oliver: Great. I appreciate that. And then Stefan, for you, just on that subscription revenue growth from travel, which is expected to kind of ramp throughout the year. Obviously, you guys are generally more positive on travel, which is exciting. I'd be curious to hear more color from you on how you forecast that and how you thought about that forecast? There's different moving parts. There's perhaps the return in travel spend for you guys. Maybe you're seeing that in the pipeline. Maybe it's -- I know you guys unified your go-to-market teams around B2B and Travel. So perhaps you're seeing something there, which gives you more confidence. Any more color around the confidence in that trajectory throughout the year would be really helpful?
Stefan Schulz: Yes. So, you're right, Rob. It's all of the above. I mean, we see we see the pipeline improving on the Travel side. We see the amount of opportunities, as Andres just laid out, as our sales team and him and our other executives get out and visit with customers, we're seeing more and more opportunities than what we might have seen, say, a year ago. I'd also say this, as we look forward over the course of the next 4 quarters, we obviously look at what's scheduled to be recognized in terms of revenue. And based on how things are already established and just looking at the second, third, fourth quarter, we already see a nice flow of new subscription revenue that's going to be coming online from bookings that have already taken place. And so, that's what gives us really the confidence to talk in terms of an accelerating subscription growth rate throughout the year.
Operator: Our next question comes from the line of Victor Cheng with Bank of America. Please proceed with your question.
Victor Cheng: Fine. Thanks for taking my questions. A couple of them, if I may. Well, I guess, first of all, you talked about the Gartner and being the leaders in the CPQ space now. If I remember correctly, the prior year, you were in the Challenger bucket. Can you talk a bit about what has changed from a product perspective? Or is it something else that has kind of driven the change in terms of how Gartner sees you?
Andres Reiner: Yes, Victor, great question. First of all, I would say, look, I'm incredibly proud of the product team. When we made our -- or focused and acquisition in the CPQ space, initially, I said, look, we're coming from behind. There's a lot of new innovation. And I would say just over the last three years, there's been an immense amount of innovation around our CPQ solution, and really bringing the next-generation modern platform. And I would say many of our capabilities around digital collaboration, for example, where we're really transforming the customer experience. We're no longer sending a PDF or a Word document as a quote, we're actually bringing a portal experience to create a digital statistical collaboration between a buyer and a seller or embedded AI capabilities. Those are all the things that are greatly, greatly differentiating. And thanks to our sales team and the great work on the wins, the market momentum. So, I think it's a combination of two things. We've had amazing product innovation. sAnd now we're ahead of SAP, Salesforce and Oracle, which is a huge goal for our team, and we're not going to rest on our laurels, but now we're a leader in every one of the major analyst reports. And then the other part is the market momentum. We're winning amazing deals. And both of those are critical to be at that top right-hand quadrant.
Victor Cheng: Got it. And then just going back to the point about travel. Obviously, you made a couple of announcements throughout the quarter. And if I take a step back and think about airlines and how technology is evolving and distribution is evolving there. I've been to a number of those conferences. It seems to me that the new technology, the NDC, the other offer management, it's still relatively new despite sort of obviously, the industry talking about it. And your -- but is that -- you talked a bit about the offer optimization. So it sounds like that is already driving kind of solid growth throughout '25. But does that mean that as airlines eventually truly adopt NDC or thinking a lot more about leveraging that to drive ancillaries and pricing optimization that actually ramp that back and that growth can be sustained or even go higher for the next couple of years?
Andres Reiner: Yes, absolutely. Think about it, airlines have to adopt NDC and multichannel like Air Canada is doing so that they're not just now doing continuous pricing on their airline.com, but across every metasearch engine in every channel they power. And then thinking about the same for dynamic ancillary products and then the bundling. This is a journey, and I think it's an incredible opportunity for us in the market to really transform both the customer experience and the revenue potential for airlines. And I would tell you, my view is the next three years is going to be heavily focused on the offer optimization side, I would say, longer term, say, three to probably 10 years is going to be the next-generation order management side. So, I would say -- and you're pretty familiar with this space, Victor, but I would say the next decade, I expect a lot of new innovation in the Travel industry as they move to create more pre-flight, in-flight, post-flight ancillaries that are tied really to driving a better experience. And then technology like our offer marketing, for example, how are we driving demand for these type of new offers that they're creating and how do they build the top of the funnel all the way through activating every channel. So, I think we feel like we're in an incredible position. We've been innovating towards this space. And based on our view, the this is probably -- the order in which airlines are going to activate the next-generation offer and order management.
Victor Cheng: Got it. And maybe the last question for Stefan. Just thinking about how you guided for '25 and talking about the long-term guidance as well. Well, that you've alluded to previously. Has your view changed in terms of the mix of top line growth versus margins? Or just the contribution from B2C and B2B, as that mix change as well given you see kind of momentum coming back on the B2C side?
Stefan Schulz: Not really, Victor. It's progressing consistent with what we've been thinking. We've always felt like Travel was going to recover and return. So that's always been part of the model. I will say, I'm glad you asked the question because I know early on when we put our long-term goal out there, there were some questions about our ability to respond on the profitability side. And I must say, I think our team has done an amazing job there, and there's a lot of energy and momentum behind it. I think we're going to be able to continue to do that. So I think as we look out over the next several years, I think we've got a really good a really good plan to achieve the ranges that we set out there, maybe a little on the lower end on one other, a little higher on the other end on another one. But all in all, we feel very good about where we are today and where we're going in the next couple of years.
Andres Reiner: Yes. The only thing I would add is this year, you're going to see us really increase our sales and marketing investment to accelerate growth, while we expect to drive greater than 60% improvement in free cash flow, which to me, is an incredible goal that we are aligned as an organization to drive that significant investment, driving acceleration in the back half as we go into next year, setting up acceleration while we're driving a better than 60% improvement in free cash flow.
Operator: Our next question comes from the line of Nehal Chokshi with Northland Capital Markets. Please proceed with your question.
Nehal Chokshi: Yes, thank you. Congrats on a good finish here. Stefan, did I hear you correctly saying that on a constant currency basis, your ARR for calendar '24 was up 10% year-over-year?
Stefan Schulz: Yes.
Nehal Chokshi: Okay. And what was the base for the year ago period in order to get to that? Because I actually have 11% in my model when I plug in that number.
Stefan Schulz: I -- let me grab it real quick. Let's see here, Nehal. On a constant currency basis, 259.0.
Nehal Chokshi: Got it. Okay. All right. I thought that was the as-is number. So for the calendar '23, that was as-is and constant currency basis?
Stefan Schulz: Well, it resets every year, right? So what happens is -- well, right, yes. Okay.
Nehal Chokshi: Okay. Understood. Understood. Okay. All right. Cool. All right. So 10% constant currency ARR growth in calendar '24. You're guiding 10% for ARR growth in calendar '25. Yet you're guiding subscription revenue to grow 11% for the full year. Previously, you talked about how the ending calendar year ARR growth is a pretty good indicator as far as what the subscription revenue growth is going to do in the next year. So can you help us understand why you have the confidence to guide subscription revenue growth to 11% despite ending calendar '24 with 10% constant currency growth on ARR?
Stefan Schulz: Yes. So what -- when we look at our subscription revenue going forward from a quarterly perspective, there's revenue that we're getting to recognize from previous bookings from previous years that we haven't had a chance to recognize. So we get an opportunity to accelerate some of that recognition. But to your point, it's not something that's going to be that significantly different. It's going to be in the similar ZIP code. So while we are going to be benefiting from some of the previous bookings that are going to fall into recognition in 2025, all in all, it's going to be a close proxy for where we are. It's not going to be an exact number, but it will be pretty close.
Nehal Chokshi: Got it. Okay. Very good. And is it fair to say that your bookings in 4Q were indeed better than expected. And as such, this constant currency ARR was also above your expectations, i.e., your expectations of having $282 million ARR was on a constant currency basis, not on an as-is basis. Is that correct?
Stefan Schulz: No, we kind of managed to ARR on a constant currency basis all year long, and our guide was $280 million to $284 million. Obviously, as you know, we landed on the higher end of that range. So we were very happy with the bookings performance in the fourth quarter and obviously happy that we landed on the higher end of the range as well.
Nehal Chokshi: Okay. Great. And then you just mentioned that we'll be accelerating investments in sales and marketing. Which parts of the go-to-market organization will that be focused on?
Stefan Schulz: In terms of B2B and travel or just make sure I'm following your question?
Nehal Chokshi: I was thinking more in terms of like customer success versus quota-carrying.
Stefan Schulz: Okay.
Andres Reiner: Yes.
Nehal Chokshi: Yes.
Andres Reiner: So think of the -- from a sales and marketing is going to be both on the demand gen and quota-carrying personnel plus programs spend. So those are the areas. CSMs, we have a great team. We'll continue to add, but the majority, think of them being quota carrying, demand gen and then program spend.
Nehal Chokshi: Got it. Okay. And then final question for me is that, I presume that both better linearity continues to be something that you're observing since Todd has stepped in here. Was that the bigger role in the $0.5 million subscription revenue beat relative to your midpoint? Or was it actually the better-than-expected bookings that drove the better-than-expected subscription revenue?
Andres Reiner: Both help. I would say they both help. The linearity definitely contributes. And then the improvement on the bookings also contributed.
Stefan Schulz: Yes. It was definitely both.
Operator: And our next question comes from the line of Brian Schwartz with Oppenheimer. Please proceed with your question.
Brian Schwartz: Yes, hi. Thanks for taking my question. I just got one. I've got one for Andre about the opportunity with the embedding AI through the platform, your Agentic vision for the company. Can you share with us the -- how we should think about the monetization path on the revenue side? I'm just wondering, volumes are going to continue to increase, but somehow will agents increase the velocity of the volume? Or can you capture it on pricing? Share with us the strategy with the new technology you're introducing.
Andres Reiner: Yes. That's a great, great question, Brian. The way that we look at it, as we said, is the AI has to be core to a capability that brings significant value. And if you think about DAP as an example, if we're deploying DAP, that obviously is powered by GenTech AI, it has to drive revenue uplift. We sell that as an individual SKU. So, customers buy for that innovation versus incorporating it in an ancillary type of usability capability. So, think about in every area when we talk about innovations around this, we're really trying to drive each one of these to bring incremental value to an end customer and be a sellable SKU that we can either sell to a net new logo or expand within an existing account. What we're trying to drive is based on our strategy of land, realize, expand is create more and more sellable SKUs that bring significant tangible value that both our team can sell to net new logos or can sell as an expansion to customers.
Operator: Thank you. And ladies and gentlemen, we have reached the end of the question-and-answer session. I would like to turn the call back to Belinda Overdeput for closing remarks.
Belinda Overdeput: Thank you for listening to today's call. We look forward to speaking with you at conferences and events this quarter. If you have any questions following the call, please contact us at ir@pros.com. Thank you for listening to today's call. We look forward to speaking with you at conferences and events this quarter. If you have any questions following today's call, please contact us at ir@pros.com. Thank you, and goodbye.